Operator: Ladies and gentlemen, welcome to the Pirelli's conference call in which Pirelli top management will present company's 9 months 2025 results. A webcast of the event and the presentation slides are available in the Investor Relator section for the Pirelli website. I remind you that the Q&A session will follow the presentation. Now I would like to introduce Mr. Marco Tronchetti Provera. Please go ahead, sir.
Marco Provera: The result for the first 9 months of 2025 highlight the resilience of our business model, capable of generating value in challenging external environment, marked by geopolitical and trade tensions and high exchange rate volatility. We closed the first 9 months with organic revenue growth of 3.7%, thanks to the effective commercial strategy that has enabled us to gain market share in the high-value segment. Profitability that remains the best among our peers, solid cash generation in Q3, supported by improved operating performance and carefully working capital management. International evolution of the Cyber Tyre and continuous product innovation have contributed to strengthen our technological leadership. The U.S., Cyber Tyre was acknowledged to be the most innovative vehicle to everything, technology by Tech Breakthrough, a leading platform for innovation in the automotive industry. This award confirms the role of Cyber Tyre as a central element for the smart mobility of the future, which includes autonomous driving, connected vehicles and digitization of the infrastructures. We've also signed an agreement with Aston Martin to integrate Cyber Tyre technology into the British manufacturers upcoming models, introducing advanced features. Finally, our leadership in product innovation was recognized by major European sector magazines, which elected Cinturato SF3 as the best all-season tyre in Europe. This achievement positions us as the reference benchmark for the performance and safety, 2 of the pillar brands distinctive -- 2 of the brand distinctive pillars. The macroeconomic environment remains volatile with limited global economic growth weighed down by the U.S. trade tariffs, the significant weakness of the dollar, input cost inflation. In this scenario, we are continuing with our commercial strategy of strengthening our position in high value, the most resilient market segment, which is expected to grow mid-single digit over the year. We confirm all targets for 2025, driven by solid organic growth and the effectiveness of our internal levels. And I give the floor to Mr. Casaluci.
Andrea Livio Casaluci: The results for the first 9 months of 2025 are among the best in the industry. The revenues of approximately EUR 5.2 billion, up 3.7% net of ForEx due to the strengthening of high value, which accounts now for 79% of the group sales, up 3 percentage points year-on-year. Profitability at 16.1%, up year-on-year, supported by the effectiveness of internal levers that more than offset the impact of exchange rates, tariffs and input cost inflation. Net income improved plus 8%, thanks to operating performance and lower financial expenses. Continued deleveraging with a year-on-year reduction in debt of approximately EUR 280 million. Solid cash generation before dividends in the third quarter, EUR 141 million, also driven by rigorous inventory management. Over the past 9 months, we kept to our commitment to sustainability, a strategic lever for innovation growth and competitiveness. We are developing increasingly sustainable products to meet the needs of customers who are keen to combine safety with environmental responsibility. With Jaguar and Rover, we created the first tyre in the PO family with over 70% bio-based and recycled materials. In addition, the natural rubber contained in this tyre is FSC certified, which we expected to extend to our entire production in Europe in 2026. Demand is growing for our eco-safety products, which fall within classes A and B of European labeling for both safety and energy efficiency. Also in our operations, the results in terms of environmental efficiency are tangible. With effects on plant management, we are continuing to reduce Scope 1 and 2 emissions, aiming at a 60% reduction compared to 2018 by the end of the year. 100% of the electricity purchased for our plants worldwide already comes from renewable sources. By the end of the year, we aim to reduce specific water withdrawal at sites located in high water stress areas by 36% compared to 2015. All this is made possible by the fundamental contribution of our people. First and foremost, we are promoting workplace safety actions with the aim of bringing the accident frequency rate to around 1 by the end of the year. At the same time, we are investing in digital skills and operational excellence, promoting engagement actions to encourage ideas and projects aimed at energy efficiency and continuous improvement. Let us now move on to a detailed analysis of our operating performance. The implementation of our strategic programs as we will see in the next few slides, has enabled us to strengthen the leadership in 3 main areas. We gained market share in high value with a plus 5% volume growth rate in the car segment. We consolidated the technological leadership through the expansion of our homologation portfolio, the launch of new products, 7 for cars and 6 for 2-wheels and the international development of the Cyber Tyre technology. Finally, we improved our competitiveness with profitability that remains the highest among the Tier 1 players. Let's start with commercial performance. We strengthened the positioning in the car 18 inches up with a steady middle single-digit growth in each quarter, gaining market share in both channels. In original equipment, especially in North America through the consolidation of partnership with local car manufacturers, in replacement in all regions, leveraging product innovation and the effectiveness of the pull-through strategy. We continue to reduce our exposure to the car below 17 inches tires, especially in South America, where we revised our distribution policy to focus on the most profitable products and channels. In the third quarter, we recorded stable standard sales in absolute terms compared to the second quarter, while the more significant year-over-year decline, minus 14% in quarter 3 versus a minus 11% in quarter 2 reflects an unfavorable comparison basis. Let's move on to the innovation program. We continue to strengthen our technological leadership in the segments with the highest value. In the first 9 months of the year, we obtained approximately 210 new homologations, mainly for 19 inches and above specialties and EV cars. These results prove the strength of our partnership with leading manufacturers, including both premium and prestige models such as Ferrari Testa Rosa, Porsche 911 and Mercedes GLC and emerging pure electric models such as ZEC 9X in China. We can count on a portfolio of homologation that is unique among Tier 1 players. In Europe, approximately 1,350 in car types above 19 inches, more than 3x the average of our competitors. Our products have received important awards, confirming the technological leadership and ability to innovate. At Expo 2025 in Japan, the PCOE received the Compasso d'Oro International Award, one of the world's most important prizes in the field of industrial design. It is the first time Tyre ever to receive this award. It was given for its ability to combine environmental sustainability, high performance, safety, efficiency and comfort in a single product. The Cinturato all-season SF3 ranked first in test conducted by autobuild and Tyre Review for its sporty behavior and high safety levels on both dry and wet roads. Finally, we recently presented the new Cinturato Winter 3, a tyre for sedans and crossovers, which stands out for its high performance on snow and wet surfaces in tests conducted by TÜV and DEKRA. These results were also achieved through the virtual development of materials supported by Pirelli's virtual compounder, a tool based on generative artificial intelligence that accurately selects the most effective material combinations and optimizes the production processes. An update on Cyber Tyre and global technological and commercial developments. Pirelli Cyber Tyre was named Vehicle to Everything Innovation of the Year at the Autotech Breakthrough Awards 2025. This price certifies the high level of innovation of the technology and consolidates its position in the smart mobility of the future. Cyber Tyre is a key component of software-defined vehicles, providing the car electronics with detailed information on tyre status and road surface conditions with tangible benefits in terms of safety, performance and efficiency. Cyber Tyre contributes to the development of smart roads and smart cities, where the data collected is essential for urban mobility planning and infrastructure maintenance. During the third quarter, an important agreement was signed in the OEM world. In Europe, a commercial partnership was launched with Aston Martin, which will be fitting future models with the cyber Tyre system. Braking space reduction is among the new features introduced. It optimizes ABS performance based on the specific characteristics of the tyre. Let us now analyze the results of the operations programs. In the first 9 months of 2025, in line with expectations, these programs generated gross efficiency of EUR 117 million, 78% of the annual target. The progression of individual projects varied. The product cost project based on the adoption of innovative design programs such as design modularity and virtualization achieved 80% of the benefits expected for the year. The SG&A and organization projects almost completed the development of the planned programs, generating efficiencies through the rationalization of the supply chain and the optimization of logistics, the digitization of processes and the upskilling of personnel. Finally, the manufacturing project. As anticipated, given the seasonal nature of the project, it achieved approximately 50% of the benefits expected for the year and will be the main driver of efficiencies in the fourth quarter. I now give the floor to Mr. Bocchio. Thank you.
Fabio Bocchio: Thank you, and good evening. Let's analyze now in detail the performance of the first 9 months of 2025 compared to the previous year. Revenues amounting to EUR 5.2 billion recorded an organic growth of 3.7%, essentially stable, including exchange rates and the perimeter delta. High Value revenues amounted to EUR 4.1 billion, accounting for 79% of group revenues, up 3 percentage points compared to last year. The lower weight of High Value in Q3 that was 78% compared to the first half of the year that was 80% is linked to the seasonality of the motorcycle business, whose sales are concentrated in the first half of the year. Let's now move on to the individual drivers. The trend in volumes, minus 0.2% reflects the opposite dynamics of High Value and standard as already described by Mr. Casaluci. The growth in price/mix, plus 3.9% was solid and steady in the 3 quarters, driven by the product and region mix, while the channel mix was slightly negative given the sales performance of original equipment. The impact of the exchange rates, minus 3.4% reflects the depreciation of the U.S. dollar and emerging market currencies against the euro. Finally, the change in perimeter, minus 0.1% is due to the deconsolidation of the Dackia business, which was sold in the second quarter of this year. Adjusted EBIT for the first 9 months amounted to EUR 835 million, up by approximately EUR 20 million compared with the previous year, with a margin of 16.1% compared with 15.7% for the first 9 months of 2024. The improvement in profitability is linked to the effectiveness of internal levers. More specifically, the positive contribution of price/mix for EUR 141 million more than offset the increase in the cost of raw materials for EUR 57 million and the EUR 53 million negative impact of exchange rates due to the dynamics already described. The balance between efficiencies and inflation was positive for EUR 24 million, thanks to the benefits of competitiveness programs. Finally, there was a negative contribution of volumes for EUR 4 million, depreciation and amortization for EUR 21 million and other costs for EUR 10 million. The gross impact of U.S. tariffs was EUR 35 million, approximately EUR 13 million net of the mitigation plan. In the third quarter, adjusted EBIT was EUR 277 million, stable year-on-year. Price/mix and efficiency fully offset all headwinds. Profitability stood at 16.3%, improving both year-on-year, plus 0.4 percentage points and compared to the second quarter, plus 0.3 percentage points. Let's now move on to analyze the net income. In the first 9 months, we achieved profits of EUR 401 million, up 8% compared to EUR 371 million of last year. This trend reflects the improvement in operating performance for EUR 20 million. An increase in nonrecurring expenses of EUR 19 million, mainly related to higher layoff and write-off costs in South America, where the process of optimizing standard capacity is underway with the shutdown of some machinery and streamlining of the organization. A reduction in net financial expenses of EUR 67 million, driven by both reduced debt and interest rates and the lower nonmonetary impact from hyperinflation accounting. Finally, the increase in taxes for EUR 38 million is linked to the loss of tax benefits that were included in the first 9 months of 2024. The tax rate was 30%, in line with expectations for the year. Starting next year, in the absence of tax benefits such as bag in [indiscernible] and ACE in Italy and extraordinary items, the tax rate is expected to settle at a normalized level between 32% and 34%. Pirelli closed the first 9 months of 2025 with a negative net financial position of approximately EUR 2.54 billion. Operating net cash flow was positive at EUR 43 million, in line with the seasonality of the business. This result is an improvement compared with the same period of 2024, mainly supported by the operating performance already mentioned. Working capital absorption remained similar to previous year trend, thanks to efficient inventory management with a decreasing incidence over 3 quarters -- over the quarters and the usual seasonality of trade receivables, which were approximately 24% of revenues and trade payables, 15% of revenues. Net cash flow before dividends was negative by EUR 363 million, not only discounting financial and tax expenses, but also the impact of tariffs and exchange rate depreciation. Net cash flow before dividends for the third quarter of 2025 was positive by EUR 141 million, basically aligned with the EUR 162 million generated in Q3 2024. As of September 2025, Pirelli had a gross debt of approximately EUR 3.8 billion, financial assets of EUR 1.3 billion and a net financial position of approximately EUR 2.5 billion. The liquidity margin of approximately EUR 2.5 billion covers debt maturities until the last quarter of 2025. The average cost of debt over the last 12 months stood at 4.66%, down from 5.06% at the end of 2024 due to more favorable interest rates in the euro area and the reduction in the portion of debt in countries with high interest rates. Sustainable finance continues to account for approximately 71% of the group's gross debt or 84.4% if we consider the holding company's debt, fully in line with the 100% target announced for the end of 2025. Pirelli's financial structure, therefore remains resilient and sustainability oriented with careful management of maturities and liquidity, supporting the group's growth strategy. Thank you. And now I return the floor to Mr. Casaluci.
Andrea Livio Casaluci: Thank you, Mr. Bocchio. Let's now move on to the market outlook for 2025. Based on trends in the first 9 months and expectations for the last quarter, the forecast is for a car tyre market essentially flat year-on-year. The high-value segment remains the most resilient with expected growth in the mid-single digits. While in car below 17 inches, demand for the tyre is expected to decline by a low single digit. In this scenario, Pirelli confirmed its strategy of strengthening in car 18 inches and above with a gain in market share in both channels. In the third quarter, we expect our volumes to grow, thanks to the outperformance of the high-value segment, in particular, in the original equipment, where we will benefit from the consolidation of partnerships with local manufacturers in Asia Pacific and North America and a more favorable year-on-year comparison. In the last quarter '24, OE sales in the EU and North America were negative, in line with the car production. On replacement 18 inches up, we will continue to gain market share in the main regions. Finally, in car equal and below 17 inches, we will continue to reduce our exposure to less profitable products and channels. The tariff scenario has become clearer, even though bilateral negotiations with the U.S. administration are still ongoing. Under current regulations, we are subject to the following U.S. tariffs. On imports of car tires from Europe, 15% from August 1, replacing the previous tariffs and the additional 25 tariffs applied from May 3 to July 31. On imports from United Kingdom, 10% additional tariffs from July 1, 25% additional duty from May 3 to June 30. On imports from Brazil, 25% from May 3. Negotiations are ongoing with the U.S. administration anyhow. No tariffs on imports from Mexico as our products are USMCA compliant. Finally, universal tariffs on import of motorcycle and bicycle tires from all countries with different percentages according to the country of origin. For 2025, we confirm the estimated gross impact of EUR 60 million for the year and EUR 30 million net of the mitigation plan, which was implemented starting in the second quarter. The results achieved in the first 9 months make us confident that we will meet our targets for 2025. Our forecasts are for revenues of between EUR 6.7 billion and EUR 6.8 billion with slightly higher volume, approximately plus 0.5% was plus 1% in the previous guidance. Price/mix improving between 3.5% and 4% compared to the 3.3% and 3.5% previously indicated, negative currency impact now expected to be minus 4% compared to the previous minus 4.5%, minus 4%. Profitability is confirmed at around 16% Investments are also confirmed around EUR 420 million, roughly 6% of revenues. Cash generation of around EUR 550 million and the resulting deleverage target are also confirmed. Thank you. And I now return the floor to Mr. Tronchetti for the final remarks.
Marco Provera: Thank you, Mr. Casaluci. The results for the first 9 months confirm the effectiveness of our strategy, as we mentioned at the beginning. Faced with the challenges of the external environment, we reacted with determination, speed and coordination, seizing opportunities for growth in high value and improving the mix, accelerating competitiveness programs, successfully implementing derisking actions as in the case of U.S. tariffs and maintaining careful management of inventories and working capital. His ability to react and the solidity of our business model make us confident that we will achieve our 2025 targets, as Mr. Casaluci was mentioning, and at the same time, guarantee one of the best performance in the industry. And this ends our presentation. We may open now the Q&A session. Thank you.
Operator: [Operator Instructions] First question is from Monica Bosio, Intesa Sanpaolo.
Monica Bosio: I have, let's say, 3. The first one is a general question on the inventories level. How do you see the inventories level overall and for the high-value tires, maybe if you can split between the regions, it would be really appreciated. And I'm just wondering if you see a softening in replacement. It seems to me that it's a little bit weaker than initially expected, but maybe I'm wrong. The second one is on the levers the company has to further improve the profitability next year. Maybe volumes could be better, we hope. Price/mix will keep strong. But are you planning a further efficiency plan? And if yes, if you can elaborate on this? And the third question is on the raw mat. It seems to me that 2026 could benefit from tailwinds from raw mat. If you can elaborate a bit on this?
Andrea Livio Casaluci: Thank you for your questions. So about stock level, I would say, quite normalized the stock position all around the world in all geographies. Clearly, in the European countries due to the winter season that has just started, the stock level is high, but this is that's normal in this part of the year. So the prebooking in winter was good, pretty good. And we are now all waiting for the sellout season that will depend on the weather conditions. The weather in October was very sunny and good. So let's see what will happen in November and December. But all in all, the stock level is well balanced. The market replacement in Q4 is expected to be in the first 9 months, roughly 4%, 5% positive in the high-value replacement. In all regions, we do expect a good performance in China, around 4%, 5% and also Europe, even if will be linked to the weather conditions. In 2026, the profitability is too early to have all the figures and will be presented at the beginning of 2026. But what we can anticipate you that we plan to have an efficiency plan aligned with what we did in the last 2 years, including 2025. So we are working to accelerate all our programs in terms of automation, digitization and electrification of our factories in order to assure the same running rate of efficiency we had in the last 2 years roughly. And it's also expected a tailwind on raw materials, mainly in the first half and due to the figures we have and the COGS impact we can estimate today, we are around in between EUR 30 million and EUR 40 million benefits, all concentrated in the first half of 2026. Thank you.
Monica Bosio: Perfect. If I may follow up the tariffs for the next year given that they will be based on a 12 months should be higher. Do you have any rough indication?
Andrea Livio Casaluci: Yes. Based on the duties scenario we presented in our market presentation before, we do expect a net impact for 2026 similar to the impact of 2025. I remind you that the net impact in 2025 is expected to be around EUR 30 million negative. And that's with the actual scenario, of course, if nothing will change, which is difficult to predict because as you see, is a scenario under development. But with the actual duties, the impact is expected to be more or less the same in the ballpark of EUR 30 million, all concentrated in the first half because it's where we have the negative comparison with last year.
Operator: Next question is from Harry Martin, Bernstein.
Harry Martin: I've got a couple of questions. The first one, I wanted to ask your latest perspectives on new competition from some of the Asian competitors. We hear plenty from the Chinese about developing 18-inch and above tires and targeting the premium vehicle segment. So any latest perspective you have on the technology gap and whether you see that closing or widening as the competitive landscape evolves. And also, we noticed the BYD Yangwang that recently did the lands speed record was not on a European tyre. It was on a [indiscernible] tyre. So it would be good to hear your latest perspectives there. And then maybe a left field question on the governance situation. I wondered whether you had or have looked or would look at doing a stock-funded acquisition as a solution to the ownership issue, which would effectively dilute the existing shareholders' ownership rights. So I'd be interested to hear whether that was something under consideration.
Marco Provera: Thank you for your questions. I answer on the question related to governance. No, the answer is no. As everybody knows, now there is -- the government is negotiating the parties in order to solve the problem of governance. But it's not on the table anything related to any extraordinary, let's say, kind of transaction. Mr. Casaluci, please.
Andrea Livio Casaluci: Yes. Thank you. The answer is no also on the first question because we see that Chinese tyre makers are growing in terms of volumes and market share, including in China, but are not affecting the highest technology, the high-tech segment of the products. We don't find any single Chinese tyre maker in the prestige segment. Very, very, very limited presence in the premium segment. So the gap in terms of technology is still very high, even though they are affecting the European markets in the lowest segment. Just to give you a couple of numbers, the trade down in the 16 inches and below tires in Europe is huge. If we compare the weight of the imported -- the Tier 2, Tier 3 brands in 2025 with 2019, so in the last 6 years, it went down around 30 percentage point, the weight of the Tier 1, moving from roughly 60%, 55% in '29, down to 30% in '25. So as you see, the trade down is visible, is affecting the market, but in the standard segment. In the homologated tyre segment, 19 inches and below market tires where Pirelli is targeting its strategy, the weight of Tier 1 players, it remains stable above 90% of the total market. So we feel well protected. Above, of course, 90% 19 inches and above, it weighs 90% of the total market, more than 90%.
Operator: Next question is from Martino De Ambroggi, Equita.
Martino De Ambroggi: Sorry to bother you on the governance issue. But just to understand because we read some statement from the Minister also about ongoing negotiation. But my question is not on specific subject, but just to have an idea, is there any ideal time limit in order to solve the U.S. issue before this could become problematic? The first question. The second is on the pricing in the U.S. because one of your competitors was misplaced in the U.S. pricing environment and rethinking the policy. So what's your feeling and your picture for the U.S. market?
Marco Provera: Thank you for the questions. So starting with the first one. Yes, there are obviously time limits in the BIS law related to connected vehicles is asking that by March 17 next year. All car makers declare that they do not have any, let's say, Chinese software included in the BIS laws. So that is what we have as a limit. Thank you. Mr. Casaluci?
Andrea Livio Casaluci: Yes. On the pricing in U.S., as we said also in the last call, what we are doing in the U.S. market to mitigate or partially mitigate the duties impact is to renegotiate the commercial conditions with all the customers. And the approach is different by channels with carmakers and with replacement market distributors. And what we do is to review at 360 degrees, the commercial conditions. It's not only a question of price, it's also a question of [indiscernible] terms, stock target and so on. So this is one of the key pillars of our mitigation plan in -- against the duties impact.
Martino De Ambroggi: So you do not perceive any specific imbalance in the sector overall? So you are able to implement your strategy without any big issue.
Andrea Livio Casaluci: Yes, problems, of course, are there, but we are managing. And as you saw in the numbers, we have been able to mitigate at least half of the impact. And this has been done through cost reductions at 360 degrees in the company on top of the efficiency plan, inventory management and reallocation to more competitive sources and also commercial conditions, including price.
Operator: Next question is from Akshat Kacker, JPMorgan.
Akshat Kacker: I have 3, please. The first one on the volume outlook for the full year. You're still expecting growth of 50 basis points, which implies a strong Q4. Could you just give us more details in terms of where that growth is coming from? And if you expect price/mix trends to remain stable like they have in the last few quarters? That's the first question. The second one is just on overall business development, specifically in the high-value business in China or APAC. Could you just give us more insight on how the business has performed in Q3 or in the first 9 months? And how are you expecting volumes to trend into Q4, please? And the last one is on standard tires and specifically on the South American business. How are you thinking about profitability for your Brazilian operations going forward, given the high competition from Chinese imports, we've had additional tariffs on exports into the U.S. I see you have also implemented additional restructuring in the quarter. Is that linked to South America? Just wondering how you're thinking about the standard tyre business going forward.
Andrea Livio Casaluci: Okay. Thank you for all the questions. Volume-wise, we do expect on the high-value segment last quarter, in line with the 9 months, roughly 5%, 6% growth in the market in the last quarter with different speed we do expect replacement market a bit faster with a growth that is around 7%, more or less, mainly driven by Europe and North America. While in the original equipment is the other way around, we do expect lower growth around 3% and mainly driven by China, that is the market where the original equipment is performing better in the high-value segment, mainly supported by the electrification of the car park. Price/mix is also expected to be positive and in the last quarter, around 3% roughly. So a bit below the average of the first 9 months. This is mainly driven by negative channel mix because due to a more favorable comparison versus last year, we do expect to grow in the original equipment in the last quarter faster than what we did in the first 9 months, and this will affect slightly negative the price/mix. But anyhow, we remain in the ballpark of 3%, 3.3% growth in the last quarter as well, supported as always, by the product mix and the slight positive price. High Value China is performing very well. It's a fast-growing market in the original equipment, as I said before, mainly driven by the electrification of the car park. More than 50% of the new car registration are driven by new electric vehicles, including pure electric, hybrid plug-in or REV. We are serving this market because we have been able to grow market share with the most important Chinese premium newcomers like Like [indiscernible], Neo,[indiscernible], all these -- the high end of BYD and Geely and so on. And today, we have a market share with these customers that is even higher, slightly higher than the market share -- the average market share we have with the traditional European carmakers. This is helping us to grow faster than the market in the original equipment. And we do expect a pull-through effect also in the replacement market in the coming years because electric vehicle requires good tires because they are heavier. They have a stronger talk momentum. They need the noise control and so on. And so we do expect good level of pull-through in the replacement channel. Profitability on standard at the group level, it remains in the high single digit, not at the level we would like to have so double digit, not yet. And South America standard profitability more or less is reflecting the average of the group because half of the standard sales are concentrated in South America. We are accelerating the exit from the lower segment in standard, and this is also reflected in our numbers of the first 9 months, exactly because of the growing competition of the Chinese tyre makers that are -- today, they weight more or less half of the Brazilian market and around 40% of the Argentinian market. And so we want to exit from a very competitive market. For this reason, we are implementing streamlining of the organization and the acceleration of the conversion of the capacity from standard to a value or in some cases, also write-off of some part of capacities, but no major restructuring are expected in the region. So we will remain with the actual footprint, 2 plants in Brazil and 1 in Argentina. And we use this capacity to support the export towards North America, roughly a couple of million tires, 2 million, 2.5 million tires are exported from Brazil to United States.
Operator: Next question is from Thomas Besson, Kepler Cheuvreux.
Thomas Besson: I'd like to talk about the balance sheet improvement, please, and the consequences it could have on your dividend, your capital allocation overall and whether this is tied to the solution we are waiting for on your shareholding structure. I mean your balance sheet has significantly improved. Right now, it's difficult to do anything in terms of buyback. Would it make sense for you to increase the dividend? That's the first question. The second is would you wait for a solution to eventually happen before adjusting this capital allocation policy? And lastly, could you remind us your views about M&A acquiring either competition or technologies, anything? And where would you see an efficient level in terms of leverage? And how much can you improve your cost of debt, which has already declined to 4.6% but with your current balance sheet, could eventually be even slightly better, I guess?
Marco Provera: Thank you for your question. So we don't have any M&A, let's say, objective within our targets. On the use of the cash having achieved or we will achieve by year-end net debt-EBITDA ratio close to 1:1, then we will have in front of us different options. There is nothing set yet, and we will take a decision looking forward. Now it's time to continue with the efficiencies, continue to deliver. And we have also to have more visibility on the market looking forward on the automotive industry in 2026 and onward. We know that in China it is fine that in U.S. is fine, but Europe is really a question mark. And it's really too early to say where we are going to be focused with the potential availability of cash related to the cash flow production. That is more or less where we are today.
Operator: Next question is from Gianluca Bertuzzo Intermonte SIM.
Gianluca Bertuzzo: I know it's maybe a little bit early, but what could be a reasonable scenario for volumes looking at next year? Do you expect high volume to continue on a mid-single-digit level? Do you expect the reduction in standard to keep going at 2025 base of minus 10%, 11%? Any comment would be helpful. Second question is on your debt management policy. I noticed a good decline in interest expense in the last quarter. What are your plans also with the convertible? Any thoughts also here would be helpful.
Andrea Livio Casaluci: So thank you. On volume side, yes, you are right. It's early to say what will happen in 2026. What we can tell you is that we do expect a resilient high-value market in the replacement channel. We do expect a pace of growth in the same range of 2025, so around 4%, 5% in all regions, and we target to gain market share in replacement high value. And as well, we target to keep on reducing our presence in the standard segment. While the original equipment is very difficult to predict now because you see a lot of volatility. The incentivation on the electrification of the car park is changing the approach, has been canceled in the United States is expected to be reduced in China. Still a lot of confusion, I would say, in Europe. A lot of disruption in the supply chain. You have heard about the cyberattack in Jaguar and Rover, the aluminum supply disruption in the last weeks in United States or the semiconductor supply chain volatility and also the demand and the car registration. So a lot of volatility still to be analyzed on the original equipment side. For debt management, we have a convertible bond that will expire half of December and today is on the money. We will see the development. But apart from that, no major update.
Gianluca Bertuzzo: And if I may, a follow-up. In the presentation, you talked about the Cyber Tyre and you mentioned the partnership with Aston Martin. I noticed that there are logos of also other prestige brands. But at the same time, also a premium brand is present like Audi. What do we have to read here?
Andrea Livio Casaluci: Sorry, we -- yes, we are working all these logos that you see on the presentation are already on supply with the Cyber tyre. We are working with Audi with the RS version with the truck race edition of the Cyber Tyre solution. We are working with McLaren Artura that has been the first project that we introduced it. And with Pagani with a full integration with the vehicle electronics, thanks to the brand-new partnership -- at that time, brand-new partnership with Bosch Engineering. And the last one is Aston Martin, as we presented, but more will come. So we are.
Marco Provera: I think I was asking why there is also a brand that is not prestige. This is obvious because we have also how to say this we have others. So we are not -- we start from the very difficult part of the market where technology has to be tested at a very extreme level. But our technologies work for also the premium cars. And we are in touch with some premium cars. In this case, Audi as Mr. Casaluci was describing, is only the version that is RS. Please go ahead.
Andrea Livio Casaluci: No, no, no, yes, you are fully right. We always introduce new technology, the most advanced technology in the prestige segment because it's a sort of laboratory also where we can accelerate the development of the new technologies but then the target also for the Cyber Tyre is to scale up into the premium, the wider premium segment. And we have already a lot of interesting projects in the pipeline with premium carmakers. Thank you very much.
Marco Provera: Thank you, everybody. I see that there are no more questions. And so this ends our presentation. Thank you, and have a good evening.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your devices.